Operator: Good afternoon, ladies and gentlemen, and welcome to Verra Mobility's Fourth Quarter and Year-End 2025 Earnings Conference Call. My name is Michelle, and I will be your conference operator today. [Operator Instructions] Please be advised that today's conference is being recorded. I would like to turn the presentation over now to your host for today's call, Mark Zindler, Vice President of Investor Relations for Verra Mobility. Please go ahead, Mr. Zindler.
Mark Zindler: Thank you. Good afternoon, and welcome to Verra Mobility's Fourth Quarter and Full Year 2025 Earnings Call. Today, we'll be discussing the results announced in our press release issued after the market closed along with our earnings presentation, which is available on the Investor Relations section of our website at ir.verramobility.com. With me on the call are David Roberts, Verra Mobility's Chief Executive Officer; and Craig Conti, our Chief Financial Officer. David will begin with prepared remarks, followed by Craig, and then we'll open up the call for Q&A. Management may make forward-looking statements during the call regarding future events and expectations, anticipated future trends and the anticipated future performance of the company. We caution you that such statements are not guarantees of future performance and involve risks and uncertainties that are difficult to predict. Actual results may differ materially from those projected in the forward-looking statements due to a variety of risk factors. These factors are described in our SEC filings. Please refer to our earnings press release and investor presentation for our cautionary note on forward-looking statements. Any forward-looking statements that we make on this call are based on our beliefs and assumptions today, and we do not undertake any obligation to update forward-looking statements. Finally, during today's call, we'll refer to certain non-GAAP financial measures. A reconciliation of these non-GAAP measures to the most directly comparable GAAP measure is included in our earnings release, quarterly earnings presentation and investor presentation, all of which can be found on our website at ir.verramobility.com. With that, I'll turn the call over to David.
David Roberts: Thank you, Mark, and thanks, everyone, for joining us. We closed 2025 with strong execution and momentum across our 3 business segments. Total revenue for the fourth quarter increased 16% from the fourth quarter of 2024, exceeding our internal expectations, while adjusted EBITDA and adjusted EPS were generally in line with our internal expectations. Looking ahead to 2026 and beyond, we are executing against a focused value creation strategy designed to strengthen our core, enhance profitability and position Verra Mobility for durable long-term growth. In the near term, we are driving operational discipline, sharpening our portfolio focus and anticipate expanding margins in 2027 and beyond. We are allocating capital and prioritizing resources against the highest return opportunities. Our priorities are clear, deliver predictable, profitable growth while strengthening margin performance over the long term. At the same time, we are investing with intent to extend our leadership and unlock long-term value. We are modernizing our technology platforms, including advancing MOSAIC, our secure cloud-based end-to-end automated enforcement solution and Government Solutions and accelerating development of our connected vehicle platform and Commercial Services. The future of mobility is safe, smart and connected. Cities and fleets are moving in that direction, and we are building the capabilities to lead that transition. These investments are disciplined, aligned with customer demand and designed to drive durable competitive advantage and sustained shareholder value. Before I transition to our operating results, I'll start with an update on our automated photo enforcement contract with the city -- with New York City Department of Transportation. I'm pleased to report that we signed and registered our contract at the end of 2025 -- at the end of December 2025. The total contract value now stands at $998 million over a 5-year period and includes an option for a 5-year renewal. Under our then existing contract with New York City Department of Transportation, we generated $22 million of revenue attributable to the Red-Light camera installations in the fourth quarter of 2025, of which approximately $14 million was installation services revenue and about $8 million was product revenue. Next, I'll move on to a macro view of each of our segments, starting with Government Solutions, which we consider our primary value creation engine due to the expanding addressable market and our competitive positioning. We are continuing to deliver strong growth and high win rates. Moreover, we are poised for margin expansion in 2027 and beyond via the deployment of the MOSAIC platform to support the event processing requirements of our global enforcement programs. Starting with growth and high win rates in the fourth quarter of 2025, Government Solutions total revenue increased 25% over the fourth quarter of 2024, driven primarily by the New York City Red-Light expansion. Additionally, we entered into bookings of about $23 million of incremental annual recurring revenue based on a full run rate, bringing the full year 2025 total to about $64 million in bookings. Notable fourth quarter bookings included school zone speed program in Orlando, Florida, our Red-Light enforcement program in Pittsburgh, Pennsylvania and a speed enforcement program across the state of Hawaii. These recent wins reinforce our structural advantage serving cities and public sector partners. Moreover, our addressable market in the U.S. has expanded by approximately $365 million due to new enabling legislation over the past 3 years with the potential to expand to about $500 million if California passes additional enabling legislation for the statewide deployment of speed enforcement. That said, we recognize there continues to be legislative activity and ongoing public debate about automated enforcement programs, including new state and local laws enabling speed and stop-arm camera programs and ongoing discussion over the role of automated tools and traffic safety. But we remain confident in our business given the wide body of evidence showing these systems successfully change driver behavior and improve safety. Speed cameras contribute to significant declines in violations as well as a 14% reduction in crashes in major cities. National safety authorities, including the United States Department of Transportation's Federal Highway Administration and the National Highway Traffic Safety Administration recognize that automated speed enforcement is a proven safety countermeasure that can reduce fatalities and serious injuries by meaningful margins. Moreover, the vast majority of automated enforcement programs are cost neutral to our customers as we incur the cost of the cameras and installation costs in most deployments and remaining cash outlays are paid for via self-funding mechanisms. We also prioritize data privacy, compliance and transparency in every implementation, and we will continue partnering with local authorities to create safer streets and better outcomes for the communities with which we serve. Our school bus stop and safety program is a standout example, clear safety outcomes, coupled with strong customer adoption and durable long-term demand as well as public acceptance. In fact, we recently shared the results of a consumer survey we conducted late last year, which showed 82% of respondents supported safety cameras to monitor and penalize drivers who illegally pass stop school buses and 70% of respondents favor automated enforcement in school zones. Automated enforcement remains a core catalyst for driver safety, which continues to be a top public priority. Next, I will turn to our Parking Solutions business or T2 Systems. In summary, T2 is stable, improving and being invested in thoughtfully. Fourth quarter total revenue increased 5% over the year -- prior year quarter, in line with our internal expectations. In 2025, T2 performed in line with its internal plan along with an improving outlook. We are seeing an early signs of momentum, primarily in the context of decreasing customer churn, while growth is primarily driven by SaaS bookings and investments in the transaction-based business area. Our operational focus is twofold, improving utilization and monetization of our SaaS and transaction-based revenue model, coupled with disciplined self-funded growth. Moving on to Commercial Services. Fourth quarter revenue and segment profit increased about 10% and 7%, respectively, over the prior year period. Rental car or RAC tolling increased 16% over the prior year period, driven by increased travel volume and product adoption as well as higher tolling activity compared to the fourth quarter of last year. The growth in RAC tolling was partially offset by a decline in fleet management revenue of about 8% compared to the fourth quarter of 2024 due to the prior period customer churn we had discussed in our second quarter earnings call. Strategically, Commercial Services remains a durable cash-generative business with clear competitive advantage, while the operating environment is more normalized relative to recent years, we believe that the fundamentals of the business remain solid. For 2026, we expect mid-single-digit revenue growth. We expect TSA volumes to grow modestly compared to 2025 levels and FMC revenue is expected to grow mid-single digits, reflecting the impact of prior year period churn in the first half of 2025. Importantly, the segment continues to generate significant free cash flow to support reinvestment and capital returns. While long-term growth expectations are more moderate than prior outlooks, we see a clear and achievable path to sustained mid-single-digit growth. The drivers remain balanced and resilient, roughly 1/3 from travel volume growth, 1/3 from structural secular tailwinds and 1/3 from focused growth initiatives that expand our value proposition. We're particularly excited about the future of Connected Payments through our partnership with Stellantis, which we believe will improve the driving experience and simplify in-vehicle payment processes. In the near term, especially over the next 2 years, we are taking a more cautious view due to softer anticipated travel volumes, reduced European travel to the United States and expected fleet reductions among our rental car customers. Should macro conditions improve and fleet levels recover faster than expected, there remains potential to perform above this baseline. In Commercial Services, we are sharpening our execution, serving customers at their highest point of need and reinforcing cost discipline and prioritizing profitability and cash generation. We're positioning the business to deliver consistent high-quality earnings over time. Moving on to capital deployment and portfolio focus. Our approach to capital deployment remains disciplined and clearly prioritized. First, we continue to allocate capital toward areas of the business where we see the strongest growth and returns, including programs like school bus stop-arm enforcement, where demand, safety outcomes and long-term economics are compelling. Second, we are actively evaluating M&A opportunities that can accelerate growth or advance our capabilities in key areas along with safe, smart and connected themes with a strong focus on strategic fit and return on invested capital. Third, share repurchases remain an available tool within our capital allocation framework, and we have returned over $650 million to shareholders through buybacks over the past 5 years. Across all capital deployment decisions, we are sharpening our portfolio to maximize performance in businesses that are already growing and to improve returns on invested capital, allocating capital with greater focus and selectivity. We believe this discipline supports both near-term margin performance and long-term strategic flexibility. As we look ahead, particularly around AI and autonomous vehicles and the evolving fleet landscape, we're focused less on defining specific products today and more about the problem spaces where we believe we are structurally advantaged. As mobility becomes more autonomous, connected and data-driven, cities and fleets alike will face fundamental changes in how safety, compliance, enforcement, governance and transactions are managing. And those are areas we're already operating at scale with trusted relationships. We're taking an intentional but very disciplined approach, building capabilities, working closely with cities and fleet operators and investing in learning before committing significant capital. As mobility transitions from individually driven vehicles to software-directed vehicles, value accrues to the systems that enable safe, efficient and compliant access to the road. These are exactly the environments in which Verra Mobility operates today, which we believe creates a long-term structural tailwind as autonomy continues to advance. In conjunction with these trends, we're expecting to increase R&D spending in these areas and the financial guidance that Craig will discuss incorporates the spending. Craig, I'll turn it over to you to guide us through our financial results, capital deployment and 2026 guidance.
Craig Conti: Thank you, David, and hello, everyone. We appreciate you joining us on the call today. Let's turn to Slide 4, which outlines the key financial measures for the consolidated business for the fourth quarter. Our Q4 revenue performance, which included 14% service revenue growth and 16% total revenue growth year-over-year exceeded our internal expectations. Service revenue growth, which consists primarily of recurring revenue, was driven by the change order for the New York City Red-Light expansion program and service revenue growth outside of New York City in the Government Solutions business as well as increased revenue from RAC tolling and European operations in the Commercial Services business. At the segment level, Government Solutions service revenue grew 21% year-over-year. Commercial Services revenue increased by 10% over the prior year and Parking Solutions SaaS and services revenue increased 2% compared to the fourth quarter of 2024. Total product revenue was about $18 million for the quarter. Government Solutions contributed roughly $14 million with $8 million coming from New York City Red-Light expansion and $6 million from international product sales. T2 delivered about $4 million in product sales overall for the quarter. On the profitability side, our consolidated adjusted EBITDA for the quarter was $102 million, roughly flat compared to the same period last year, largely due to the investments made in New York City. We reported net income of $19 million for the quarter, and GAAP diluted EPS was $0.12 per share for the fourth quarter of 2025 compared to a loss of $0.41 per share for the prior year period. GAAP results included approximately $16 million of nonrecurring expenses, about $6 million related to our fourth quarter debt refinancing and $10 million related to fixed asset write-down expenses due to our exit from Ontario, Canada. Adjusted EPS, which excludes amortization, stock-based compensation and other nonrecurring items, was $0.30 per share for the fourth quarter of this year compared to $0.33 per share in the fourth quarter of 2024. The adjusted EPS decline was primarily driven by New York City readiness costs. For the full year, we reported net income of $137 million, including a tax provision of $58 million, representing a full year effective tax rate of about 30%. GAAP diluted EPS was $0.85 per share in 2025 compared to $0.19 in 2024. Full year 2025 adjusted EPS was $1.32 per share compared to $1.23 per share in 2024. Cash flows provided by operating activities totaled $40 million, and we delivered $6 million of free cash flow for the quarter. Free cash flow was negatively impacted by the timing of cash collections. As of today's call, we have collected approximately $22 million that we originally anticipated collecting in the fourth quarter of 2025. Turning to Slide 5. We generated $416 million of adjusted EBITDA on approximately $979 million of revenue for the trailing 12 months, representing a 42% adjusted EBITDA margin. Additionally, we generated $137 million of free cash flow or 33% conversion of adjusted EBITDA over the trailing 12 months. Adjusting for the cash -- adjusting for the cash in the first quarter of 2026 that we anticipated collecting in the fourth quarter of 2025, free cash flow conversion would have been greater than 38% in 2025. Next, I'll walk through the fourth quarter performance in each of our 3 business segments, beginning with Commercial Services on Slide 6. CS year-over-year revenue growth was 10% in the fourth quarter. RAC tolling revenue increased 16% or about $10 million over the same period last year, driven by increased product adoption and tolling activity, which benefited from a 1% increase in U.S. travel volume over the prior year quarter. Our FMC business declined 8% or about $1.6 million year-over-year, primarily driven by prior period customer churn. Additionally, our European operations contributed just shy of $1 billion of growth compared to the fourth quarter of 2024. Commercial Services segment profit increased 7% over the prior year, representing a 64% segment profit margin. The margin decline compared to the prior year quarter was largely driven by a modest increase in credit loss expense and one-time selling, general and administrative costs. For the full year, Commercial Services generated $436 million of revenue or 7% growth over last year. Segment Profit of $283 million resulted in margins of about 65%, an 85 basis point decline over the prior year, driven by ERP implementation costs and modestly increased credit loss expense. Turning to Slide 7. Government Solutions saw strong revenue growth in the quarter, driven by $14 million of installation service for the new Red-Light camera expansion in New York City as well as 11% service growth outside of New York City. The growth was broad-based across all customer use cases with particular strength in speed, bus lane and school bus stop-arm enforcement programs. Total revenue grew 25% over the prior year quarter, benefiting from about $14 million in product sales, of which $8 million were generated from New York City Red-Light camera sales and $6 million from international product sales. In total, product sales increased by $6 million over the same period last year. Government Solutions segment profit was $31 million for the quarter, representing margins of approximately 24% compared to 34% in the prior year period. The reduction in margins versus prior year was primarily due to readiness investments made to prepare the company for execution of the New York City contract as well as lower credit loss expense in the prior year quarter. For the full year, Government Solutions generated $461 million of total revenue, an 18% increase over 2024, driven primarily by New York City installation services revenue as well as 10% service revenue growth outside of New York City. Segment Profit was $122 million, which was roughly flat with prior year. Let's turn to Slide 8 for a review of the results of Parking Solutions. We generated revenue of $21 million and segment profit of approximately $2 million for the quarter. SaaS and services sales increased 2% compared to the prior year, while product revenue increased 17% or about $1 million compared to the fourth quarter of 2024. For the full year, Parking Solutions delivered revenue of $83 million, an increase of approximately 2% versus last year and segment profit of $11 million. SaaS revenue grew 2% over 2024. Okay. Let's turn to Slide 9 for a review of the balance sheet and take a look at net leverage. Our gross debt balance at year-end was about $1 billion, of which approximately $690 million was floating rate debt. We ended the quarter with a net debt balance of $972 million, which was elevated sequentially due to fourth quarter share repurchases. Net leverage landed at 2.3x, and we maintained significant liquidity with our recently expanded $150 million undrawn credit revolver. Let me give you some detail on our share repurchase plan. Our Board had previously authorized the expansion of our existing buyback plan by an incremental $150 million, bringing the total authorization up to $250 million. In the fourth quarter, we purchased approximately 6 million shares for about $133 million through open market transactions. Now let's switch gears and talk about the future. Let's turn to Slide 10 for a discussion on how we think 2026 is going to shape up. We expect total revenue in the range of $1.02 billion to $1.03 billion, representing approximately 5% growth at the midpoint of guidance over 2025, consistent with the preliminary outlook we provided on our third quarter earnings call. We expect adjusted EBITDA in the range of $405 million to $415 million or an adjusted EBITDA margin percent of about 40%, representing a 250 basis point decline compared to 2025, again, consistent with the preliminary outlook provided on our Q3 call. As we previously discussed, the combination of portfolio mix in the New York City renewal contract, partially offset by a year-over-year reduction in ERP implementation costs are expected to drive the temporary reduction in margins. We expect 2026 non-GAAP adjusted EPS to be in the range of $1.32 to $1.38 per share, representing low single-digit growth over 2025, consistent with the outlook we provided on our Q3 earnings call. And lastly, free cash flow is expected to be in the range of $150 million to $160 million for 2026, representing a conversion rate in the high 30th percentile of adjusted EBITDA. We expect to spend approximately $125 million of CapEx in 2026, roughly flat with 2025. The vast majority will be spent in Government Solutions to implement newly awarded photo enforcement programs. Turning back to the adjusted EBITDA margin. Let me provide a quick refresher on each of those key drivers. The portfolio mix is simply Government Solutions growing faster than commercial services. This represents about 25 basis points of year-over-year decline at the total company level. Secondly, in Government Solutions, margins will be negatively impacted by service pricing changes established through the competitive procurement process for New York City and incremental operating costs associated with minority and women-owned subcontractor requirements under the renewal contract. These factors combined to represent about 250 to 300 basis points of margin decline at the total company level. Third, and partially offsetting the first 2 drivers, we expect Commercial Services segment profit margins to expand 25 to 50 basis points due to volume leverage and the absence of 2025 ERP spending. Moving on to the segment level. In Commercial Services, we expect mid-single-digit revenue growth. We are modeling TSA volume growing about 100 basis points for the full year. In addition, we're expecting FMC revenue to grow mid-single digits over the prior year, down high single digits in the first half of the year due to the prior period churn and growing low double digits in the back half of the year due to the easier comps. For the combined CS business, we expect the first quarter to be our lowest revenue-generating quarter, likely flat compared to the first quarter of 2025, followed by sequential revenue increases in the second and third quarters and then a modest sequential revenue decline in the fourth. Adjusted EBITDA margins are expected to follow the same cadence as sequential revenue. Government Solutions is expected to generate the high end of mid-single-digit total revenue growth in 2026. There are a few components influencing this growth. The expansion under the updated New York City contract is expected to drive $11 million of service revenue growth and non-New York City revenue is expected to grow 8% or roughly $20 million. In total, we expect GS service revenue to grow high single digits. Additionally, product revenue will be basically flat year-over-year as New York City product sales will be offset by a decline in international product revenue. We expect GS margins to be down about 450 to 500 basis points compared to 2025, consistent with the outlook we provided on our Q3 earnings call. This is driven by the New York City renewal contract, specifically service pricing changes established through the competitive procurement process and the minority and women-owned subcontractor requirements. Margins are expected to ramp up over the course of the year from mid- to high teens in Q1 2026 as we incur the impact of the New York City service pricing change, up to the mid-20s by Q4 2026, fueled by volume, MOSAIC cost savings and school bus stop-arm seasonality. Before I move on to Parking Solutions, I'll provide a brief synopsis on Government Solutions' historical and anticipated future cost drivers. For the full year 2025, we absorbed approximately $15 million of nonrecurring operating expenses to support a combination of New York City readiness and MOSAIC development costs. In 2026, we anticipate that the investment in MOSAIC will be cost neutral as remaining investment operating expenses will be offset by second half 2026 operating expense savings. Thereafter, starting in 2027 and driven primarily from the MOSAIC implementation along with volume leverage, we expect to be in a position of operating expense savings of $10 million to $20 million per year relative to the 2026 run rate. Lastly and separate from the MOSAIC implementation, we expect to incur approximately $22 million to $24 million of costs annually beginning in 2026 that we expect to be split amongst cost of service revenue and operating expense to support the New York City minority and women-owned business subcontractor requirement as we discussed on our third quarter earnings call. For Parking Solutions, we expect to deliver mid-single-digit revenue growth over 2025 levels. We expect SaaS revenue to grow low single digits and subscription and professional services along with product revenue to grow high single digits. We expect Parking Solutions margins to be slightly accretive in 2025. Before we close out today, I'd like to provide some perspective on how we expect 2026 revenue and earnings to pace out quarterly. For the company as a whole, we expect first quarter 2026 total revenue to be about flat compared to the first quarter of 2025, followed by high single-digit year-over-year growth in the second quarter, followed by mid-single-digit growth in the third and fourth quarters of 2026. We expect adjusted EBITDA margins to land in the mid-30% range in Q1 due to the factors I've discussed and then trend up to the high 30s to the low 40s for the balance of the year, resulting in an expected 40% margin for the full year 2026. Other key assumptions supporting our adjusted EPS and free cash flow outlook can be found on Slide 11. This concludes our prepared remarks. Thank you for your time and attention today. At this time, I'd like to invite Michelle to open the line for any questions. Over to you, Michelle.
Operator: [Operator Instructions] And our first question comes from Faiza Alwy with Deutsche Bank.
Faiza Alwy: I guess, first, just a follow-up for Craig on the quarterly cadence that you mentioned. I think you said first quarter, you're expecting flat revenue and then it kind of builds up from there. So it would be really helpful just to address kind of what's driving that and what's going to drive the improving revenue through the course of the year.
Craig Conti: Yes. Great. Well, thanks for the question, Faiza. So let me just recap at the beginning what the kind of the guide was. So if we talk about it from a revenue perspective, to your question, we expect it to be flat, then we expect on a year-over-year basis to be up high single digits in Q2 stand-alone and then mid-single digits in Q3 and Q4 stand-alone. That gets you to mid-single digits for the year. And then on the margin side, we expect to be, again, for the total company in the first quarter in the mid-30s, getting up around 40% in the second quarter and a little north of 40% in the third and fourth quarter to get you to the 40% for the year. So here's the why, I think myopically on the first quarter. Some of it's the weather, some of it's -- some other things that are going on, but I'll break it down by business. So on the commercial side, we expect commercial to be relatively flat. A big piece of that is the FMC churn. So this is what we talked about in the second quarter of last year. It's particularly acute in the first quarter because we had a strong first quarter in 2024. So that churn is a big piece of it. The other piece in Commercial Services is the pacing of travel and some of the inclement weather that we've seen. I know you live in New York, Faiza, so you probably know this outside your window that we've seen kind of for the last 7 weeks. If we think about today, the quarter-to-date TSA throughput went down about 80 basis points last night, just based on the Northeast kind of being snowed. So if I combine those 2 things, the pacing of the increase in travel year-over-year, which I expect to be back-end weighted anyway, I think being a little bit slower here starting off the first quarter in the FMC churn, it's been roughly flattish on the commercial side of the house. Now let me go to the government side. Also flattish there. The first piece of this is the price normalization. We talked about this in the competitive -- the competitive procurement that we did for the contract, that hits us starting on 1/1 of 2026. Now we had expected that to be offset by some volume. But again, going back to inclement weather, we can't set concrete unless it's been above freezing for 24 hours. In New York City, we've had a lot more days underneath freezing than we anticipated at this point. So I still think that all of that install volume is safely within 2026. It's just going to be a little bit more bunched up in the back 3 quarters. So if I look at FMC, the pricing and then the weather, those 3 things kind of come together to give us a flattish Q1. That's my best view as of today, Faiza.
Faiza Alwy: Understood. Makes sense. And then I just wanted to ask about the political environment around automated photo traffic enforcement. I think, David, you touched on this just a little bit in your prepared commentary. I know there's been some noise coming out of D.C. and the Trump administration and -- just curious like what you're seeing on the ground in terms of new RFPs coming out? Just would love to hear more -- your perspective around that.
David Roberts: Yes. Great question. I think one point to start is, as I say, there's nothing new under the sun, and that includes any sort of comments in the press related to automated enforcement that's been going on for 18 years. So that's something very normal. It has moments where it's a little higher volume like it is right now. But then I would just point to the state legislatures that have opened up the $350 million of TAM that we talked about in the last 3 years. So I think that's where the market stands. And so I think we continue to be in a really good place. I think because the industry has done a really good job of pivoting to very specific, what we call purpose-built use cases, in places like school zones and work zones and school buses. Those are what I would just consider "more popular and I think draw less sort of feedback." so overall, I feel like we're in a good place. This is nothing that is new to Verra Mobility or to the industry, and it's something that we just handle as it comes.
Operator: And our next question will come from Tomo Sano with JPMorgan.
Tomohiko Sano: Could you talk about the -- with the new New York City contract finalized, would you be able to quantify the impact of price normalization and MWBE requirements on margins? And if you could discuss your expectations for the pace of margin normalization from 2027 onward, please?
Craig Conti: Yes. The best way, Tomo, I could think to answer that. I got to be careful from a competitive standpoint, of course. But if you compare the new contract with the old contract, right? So as you know, Tomo, we've had this contract in some form or fashion for quite some time, this is the latest iteration of that significantly expanded. I'd like to talk about it in terms of margin dollars. So there's a couple of things going on in this contract. The first thing is there's several thousand camera expansion, okay, depending on use cases. That's margin dollars into the contract. There's also new scope in the contract that we're doing things we didn't do before for the city, that's margin dollars into the contract. And then there are things that we used to do kind of, call it, at breakeven that now we do at a slight margin, so that's margin dollars into the contract. And then you've got the price, which is the modernization, I would say, of the revenue per approach. As you combine all of those things over the life of this deal, which is a 10-year deal, 5-year within a renewal, so let's say, a 5-year deal, you get to roughly even margin dollars. That's the way to think about it. The investment that Verra is making into the project or what's causing that and the $22 million to $24 million I mentioned in my script, that is us using the minority and women-owned subcontractors in the state of New York. So the way to think about that, that's work that we used to do in-house that now we're subcontracting out to those folks that are based in the five boroughs. That's the investment in the contract. Does that make sense from a margin standpoint?
Tomohiko Sano: Yes, it's clear. And just wanted to get a follow-up on the AI questions. From a long-term perspective, how do you [indiscernible] and opportunities that advances in AI present for your business model, including the potential for rental car companies to develop their own AI-driven solutions and your own efforts to differentiate and create the value through AI, please?
David Roberts: Yes. I mean I think -- I don't think there's a public company CEO that wouldn't say, yes, AI is going to have some impact on their business at some point. What I would say is we're going to be on offense on this, not on defense, which is we have already deployed AI into some of the technology we've deployed today. We're using it regular in our software development. And as I mentioned in the closing part of my remarks, we really feel that AI and autonomous vehicles create a really great lane of potential future growth for us. Specifically -- but as you go back to your specific question is the AI also -- we still continue to work with tolling authorities and some technology that's probably a little less AI-oriented. So we continue to find new ways to integrate with them as well as we're always pushing on with our customers, how can we add more value? What are new products and services that we can deploy? And you see that in our connected vehicle platform, which I think is sort of where the next generation of tolling will occur, which is inside of a connected vehicle. It's still a ways away. I don't think it's anytime soon, but we've already made inroads with folks like Stellantis to help create that platform. So I think we feel pretty good about where we sit today.
Operator: And the next question is going to come from Daniel Moore with CJS Securities.
Dan Moore: Just wanted to ask on the cash flow. Just I think your CapEx expectation is $125 million. The guidance includes $22 million of collections that kind of spilled over. So just wondering kind of what the working capital embedded in the guidance and when we might get back to a more normalized level of conversions when you sort of factor that good guy that's helping the guidance in '26.
Craig Conti: Yes, yes. No, you bet. Great question. So I would say that this is close to normal. So working capital, let me answer your question directly, is $20 million investment year-over-year that I think that's on Slide 11. So that will be there to look at for your model later. And that is what I always call a right just use of working capital. The vast majority of that is as we grow our commercial services business, which is we expect mid-single-digit growth this year, that's more funds on deposit that we put with the 54-plus toll authorities in the United States. So as that business grows, working capital should always be a little bit more of a use. I think as you pace that out and you picked out exactly the right pieces, the reason why that $22 million that I got in '26 that I expected in '25 didn't push that number north is because CapEx is a little higher than I thought. So if we go back a couple of quarters, I don't know if it was you that asked it and someone said, what is -- what do you think about for 2026 CapEx? And the number I had was not as high as the $125 million that we've got in the box and in the guide today. So had that number been the lower number I thought a few months ago, we would have had higher conversion. Now that's kind of the bad news on conversion. The good news is the reason why it's higher is because we continue to win on the Government Solutions side of the house. I'm sure you saw the Hawaii announcement that went out not too long ago, and we've got a few more in the late funnel that I can't quite talk about yet that we expect to go here in the year. So when I think about our Government Solutions business on a non-New York City basis, service revenue growing high single digits approaching double digits, free cash flow conversion getting around 40% is probably the right level for that.
Dan Moore: All right. That's helpful, Craig. And then you actually just touched on it, the Hawaii contract. Just talk a little bit about kind of the cadence of revenue, how we should think about the ramp in that $160 million over the next few years?
Craig Conti: Yes. This one -- this is a big deployment in a small area. So you think it go fast, but actually, it's kind of the opposite. I expect to see this over the next several years, right? So this is typically, I'd say, 12 to 18 months. I think this one is probably more 36 months, maybe a little bit north of that. And we've got a pretty big geographical area to cover here even though there's not a lot of land mass. So very exciting win for us, great partnership with the state. We're super pleased about it. It's going to be a little slower on the rollout, but good news all around.
Operator: [Operator Instructions] The next question comes from David Koning with Baird.
David Koning: Nice job. I guess my question is around the government business, ARR growth, the backlog, really good again. And I guess my question, is that better than you expected? And do you still feel like the '27, '28, '29 expectations you gave for government revenue hold the ones you gave last quarter, do those still hold? Or are those even a little better now with some of the new signings?
Craig Conti: I would say -- thanks for the question, David. I would say hold. Those are -- they still hold to what we talked about last time. And the one that we talked about last time specifically was does 2027 feel like double digits. And I still see a path to that today. So maybe just one more level of detail on that. When we talked last quarter and we gave that view out to 2028, I believe that we had non-New York City growing in the high single digits, which is from an organic perspective, which is exactly what we've got in the guide today. So I don't -- I'm a little closer to it, and [ I still am ] as confident as what I said it last quarter that '27 looks especially good.
David Koning: Okay. And then as a follow-up, it sounds like you're going to exit this year in the mid-20s margin within the government segment. Is that a fair kind of starting point as we think in the out years that we know you can get back to at least the mid-20s and hopefully get back to 30% over time?
Craig Conti: Yes. I think we're going to exit. I'm going to [indiscernible] consult my notes here, give me one second to make sure. Yes, we're going to exit with GS, I think, a little lower than the mid-20s this year. We should be on the lower end of the 20s, which is, again, consistent with last quarter. But does that path still exist to get up to the mid- to high 20s by 2028 going into 2029? And the answer is yes. And the path to that is volume leverage and first of all, and second of all is MOSAIC.
Operator: And our next question will come from James Faucette with Morgan Stanley.
Shefali Tamaskar: This is Shefali Tamaskar on for James. So you gave some really helpful commentary around AI, specifically around increasing R&D and how you view AI as a lane for potential future growth. So I wanted to better understand how you think about the trade-offs between building out technology related to AI internally versus partnering or potentially acquiring targets with AI capabilities.
David Roberts: Yes. Great question. I think the way I would describe my answer is it's both and not either/or, meaning we probably see that relative to AI impacting transportation, it's going to be showing up in autonomous vehicles, and there's going to be a slightly slower bend toward that over the next decade or 2 as more autonomous fleets get proliferated, the legislation gets set. There's a lot to be worked out. And so there's both arms and legs component of that, and then there's also an AI and software development side. So I would say that we're open to partnering and have already started conversations. And actually, the Stellantis conversation is a really good one where we're partnering with them. That's not explicitly AI, but it is software delivered in a connected vehicle case, which is good. So I would say we will be more than open to partnering with -- but first and foremost, we want to find the use cases and the problems that are most impacting the current customers we have and really go hard at the hoop to solve those. And we'll do that with our own capital, our own innovation. We can do it through potentially capabilities through acquisition and/or partnership.
Operator: And I am showing no further questions in the queue. This concludes today's conference call, and thank you for participating, and you may now disconnect.